Operator: Ladies and gentlemen, thank you for standing by. Welcome to Comtech Telecommunications Corp. Second Quarter Fiscal 2019 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded, Thursday, March 7, 2019.
 I would now like to turn the conference over to Mr. Jason DiLorenzo of Comtech Telecommunications. Please go ahead, sir. 
Jason DiLorenzo: Thank you, and good morning. Welcome to the Comtech Telecommunications Corp. conference call for the second quarter of fiscal year 2019. With us on the call this morning are Fred Kornberg, Chief Executive Officer and President of Comtech; Michael D. Porcelain, Senior Vice President and Chief Operating Officer; and Michael Bondi, Chief Financial Officer. 
 Before we proceed, I need to remind you of the company's safe harbor language. Certain information presented in this call will include, but not be limited to, information relating to the future performance and financial condition of the company, the company's plans, objectives and business outlook and the plans, objectives and business outlook of the company's management. The company's assumptions regarding such performance, business outlook and plans are forward-looking in nature and involve significant risks and uncertainties. Actual results could differ materially from such forward-looking information. Any forward-looking statements are qualified in their entirety by cautionary statements contained in the company's Securities and Exchange Commission filings.
 I am pleased now to introduce the Chief Executive Officer and President of Comtech, Fred Kornberg. Fred? 
Fred Kornberg: Thank you, Jason. Good morning, everyone, and thank you for joining us on this call. This morning, we will be discussing our results for our second quarter of fiscal 2019. As you can see from yesterday's press release, our second quarter results exceeded our expectations on almost every front. We generated strong operating results, our business momentum remained strong and our pipeline of opportunities is growing. I'm confident that we are well on our way to another successful year. 
 In fact, given the successful execution of our business strategies to date, we are updating our fiscal 2019 target guidance and increasing our revenue goal to a range of approximately $645 million to $660 million, and increasing our adjusted EBITDA goal to a range of approximately $85 million to $89 million.
 We're also updating our GAAP diluted EPS goal to a range of $0.86 to $0.98. We also believe, if order flow remains strong, as we think it will, it is possible that the consolidated net sales and adjusted EBITDA could be high end in our targeted amounts.
 I'll talk more later in this call, but first, let me turn it over to Mr. Mike Bondi, our CFO, who will provide a discussion of our second quarter financial results and some details about our fiscal 2019 guidance. Then Mike Porcelain, our COO, will provide a discussion of our 2 business segments, and then I'll come back before opening up to questions and answers. Mike? 
Michael Bondi: Thank you, Fred, and good morning, everyone. As announced yesterday afternoon, we reported our second quarter results, $164.1 million in revenues; GAAP operating income of $12.4 million; and adjusted EBITDA, a non-GAAP measure, of $23.2 million. 
 From a geographic perspective, net sales to U.S.-based customers were 77.2% of total net sales, with 22.8% to international customers. Bookings for the second quarter were $123.3 million, and we finished the quarter with a consolidated backlog of $586.4 million. As stated on our last quarter's earnings call, we expected to burn off some of our current backlog until we secure a few large bookings we are chasing. 
 We have many opportunities in the pipeline, and we currently expect bookings during the second half of fiscal 2019 to increase from current levels. Our gross profit percentage in our second quarter of fiscal 2019 was 37.3%, which, as anticipated, reflected a decline from the 38% we achieved in the second quarter of fiscal 2018. The decrease was almost entirely driven by the increase in total sales coming from our Government Solutions segment, which represented 47.2% of consolidated net sales as compared to 35.8% in Q2 of fiscal 2018.
 As a reminder, our consolidated gross margins are influenced by product mix changes, and our Government Solutions segment historically achieves lower gross margins than our Commercial Solutions segment. So when Government Solutions' net sales pick up, it will likely impact our consolidated gross margin percentage. 
 On a sequential quarter-over-quarter basis, the 37.3% achieved this quarter was an increase from the 35.9% we reported last quarter. Such increase is largely due to a higher proportion of our consolidated net sales occurring in our Commercial Solutions segment. Given expected net sales growth and product mix changes, we expect that our consolidated gross profit percentage for fiscal 2019 will be lower than last year. 
 On the operating expense side, SG&A expenses were $32 million for the 3 months ended January 31, 2019, or 19.5% of consolidated net sales, which is lower than the 20.3% reported for the comparable period of fiscal 2018. SG&A expenses in our most recent quarter include $3.9 million of estimated contract settlement costs related to an ongoing repositioning of our Enterprise Technologies solutions offerings in our Commercial Solutions segment that we initiated during the quarter. Excluding such charge, SG&A expenses for the most recent quarter would have been $28.1 million or 17.1% of consolidated net sales. 
 Research and development expenses were $14 million for the second quarter of fiscal 2019 or 8.5% of consolidated net sales and were comprised of $11.9 million of spending in the Commercial Solutions segment and $2 million of spending in the Government Solutions segment, with the balance representing the amortization of stock-based compensation, which is recorded in our unallocated segment. For the year, we expect both SG&A and R&D expenses to be higher in dollars but similar to the respective percentages we achieved in fiscal 2018. 
 Total stock-based compensation expense was $1.2 million for the second quarter of fiscal '19 as compared to $1.1 million for the second quarter of fiscal 2018. On an annual basis, amortization of stock-based compensation is expected to be in a range of $11 million to $13 million.
 Amortization of intangibles was $4.3 million in the second quarter of fiscal 2019 as compared to $5.3 million in the second quarter of fiscal 2018. As a result of our acquisition of Solacom, which closed in February 2019, we expect our quarterly run rate for amortization to be approximately $300,000 higher. As such, our business outlook for fiscal 2019 now assumes total annual amortization will approximate $17.8 million, an increase from the $17.2 million we previously expected. 
 Unallocated expenses for the second quarter of fiscal 2019 include a $3.2 million benefit resulting from a favorable resolution of a legacy TCS intellectual property litigation matter. Partially offsetting this was $1.8 million of acquisition plan expenses, most of which related to Solacom. Looking forward, we expect to incur an additional $1 million of acquisition plan expenses during the third quarter of fiscal 2019. 
 In aggregate, our consolidated GAAP operating income for the 3 months ended January 31, 2019, was $12.4 million or 7.6% of net sales. Excluding the impact of the items I just mentioned, our consolidated operating income for the second quarter of fiscal 2019 would have been $14.9 million or 9.1% of consolidated net sales. 
 Our adjusted EBITDA was $23.2 million or 14.1% of consolidated net sales for the 3 months ended January 31, 2019. Adjusted EBITDA in our Commercial Solutions segment was $18.4 million or 21.2% of related net sales. And in our Government Solutions segment, it was $9 million or 11.6% of related net sales. 
 Looking forward and despite mix changes, we are targeting adjusted EBITDA as a percentage of consolidated net sales for fiscal 2019 to be similar to the 13.7% we achieved in fiscal 2018. 
 Now let me talk about our interest expense, taxes and our balance sheet. Interest expense was $2.3 million in the second quarter of fiscal 2019. As of January 31, 2019, we had total debt outstanding, including capital leases, of $176.3 million; and our secured leverage ratio was 1.85x trailing 12-months adjusted EBITDA. After the impact of the Solacom acquisition, our secured leverage ratio on a pro forma basis would have been slightly above 2. 
 On the tax side, we recorded a net discrete tax benefit of less than $0.1 million. Excluding discrete items, our effective tax rate was 23%.
 On the bottom line, GAAP net income was $7.8 million or $0.32 per diluted share for the second quarter of fiscal 2019. Excluding the impact of estimated contract settlement costs, the favorable resolution of our IP litigation matter and acquisition plan expenses, our diluted EPS for the second quarter of fiscal 2019 would have been $0.40. 
 On the balance sheet, at January 31, 2019, we had $46 million of cash and cash equivalents. Cash flows provided by operations were strong at $27.2 million for the second quarter of fiscal 2019. Based on our current outlook, we continue to expect approximately $50 million of cash flows from operating activities for fiscal 2019. 
 Before turning it over to Mike Porcelain, our COO, I just want to provide a few additional comments on the guidance we announced yesterday. Since we last -- since the last time we spoke, our fiscal 2019 targets have been impacted by a number of shifts in the anticipated timing of potential awards and overall product mix changes as well as nominal financial contributions from Solacom, which closed in February 2019. All in, we expect third quarter net sales to approximate the amount we achieved in our second quarter of fiscal 2019, with GAAP operating income and adjusted EBITDA approximating $9 million and $20 million, respectively. 
 Given the strength of our backlog and timing of anticipated orders, including a full quarter of financial contributions from Solacom, our fourth quarter of fiscal 2019 is expected to be the peak quarter of the fiscal year for adjusted EBITDA. Overall, it was another really good quarter for Comtech.
 Now I will hand it over to Mike Porcelain to provide some recent developments and additional color for each of our 2 business segments. Mike? 
Michael Porcelain: Thank you, Michael. We were really pleased with our business performance this quarter, and things are looking better not only for fiscal 2019 but for fiscal 2020. We believe our business strategies are clearly paying off. Let me give you some perspectives by segment. 
 First, in our Commercial Solutions segment, net sales were $86.7 million as compared to Q2 of last year, which were $85.8 million. This was a good quarter on many fronts for our satellite earth station product line, which include our HEIGHTS, modems, our SCPC satellite modems and our solid-state power amplifiers. Net sales of these products were higher this quarter as compared to Q2 of last year. 
 Looking -- HEIGHTS revenue does appear to be coming in at an inflection point. Looking forward, I can tell you that we are very close on a number of large HEIGHTS opportunities that are not yet reflected on our bookings number. We have been verbally told that we will be receiving several strategic and financially meaningful HEIGHTS contract awards in the second half and early 2020.
 As many of you know, the sales cycle for these products are long, so it is really nice to feel that we are getting close to the finish line on just a few of the many HEIGHTS opportunities we have been working on. Market perception for HEIGHTS, especially in the middle to high end of the market, is very favorable, and we see several operators looking to standardize around HEIGHTS for their managed network operations and managed service offerings. We believe our HEIGHTS products are perfectly positioned and will expand our total addressable market. 
 As an example, as most of you know, we do not sell satellite modems to U.S. mobile operators because of the widespread availability of fiber in the United States. That said, we are working with a large U.S. mobile operator who is in the process of conducting live user testing of HEIGHTS. If such test go well, we believe an important strategic order will follow. 
 Based on our current opportunities, our business outlook for fiscal 2019 assumes that net sales of our HEIGHTS solutions will continue to steadily increase and that this will be our second consecutive year of revenue growth for HEIGHTS products as well as our entire satellite earth station product line. This trend bodes well for fiscal 2020. 
 Turning to our Enterprise Technology and Safety & Security Technologies solutions. Net sales in Q2 of fiscal 2019 were slightly higher as compared to Q2 of fiscal 2018. Net sales of these products include location and text messaging platform and safety and security technology solutions, such as our wireless and next-generation 911 platforms. 
 Q2 of fiscal 2019 was a solid quarter of bookings in this area. For example, with respect to our advanced location-based services, platforms and applications, during our second quarter, we received a 2-year agreement worth $3.6 million from a Fortune 500 company. We won a $2.5 million order from a top-tier telecommunications service provider based in Saudi Arabia, and we were awarded a renewal agreement worth more than $2.3 million from another Fortune 100 company.
 We also received a $1.4 million renewal contract from a Fortune Global 500 company for various navigation and telematics services and a $1.7 million order to deliver next-generation 911 services for the association of counties in the state of Texas. We have strong backlog for our Enterprise Technology and Safety & Security Technologies solution products. And end-market conditions, although competitive, remain healthy. 
 We have responded and are responding to several proposals with large wireless carriers as well as states for 911 services. Some of these are sole-source opportunities, and we remain optimistic that we will win one or more large opportunities before the end of our fiscal 2019. Our business outlook for fiscal 2019 assumes that total net sales of these products are expected to be higher than what we achieved in fiscal 2018.
 During Q2, we did begin an evaluation and repositioning of our enterprise technology products in order to focus on providing higher-margin solution offerings. Today, we offer a number of mapping and text messaging applications for end customers. Many of these solutions are repeat type or annuity type revenue and generate good profits for us. We also provide certain miscellaneous services to various customers, many of which have low margins. 
 For example, for several years, we've been focused on expanding to new verticals, such as providing Trusted Location solutions to the financial industry. As most everyone knows, good software developers and talent are scarce, so we want to shift certain work that we are doing today into areas that we know better and have a higher likelihood of success. Looking forward, we see a number of good opportunities in this space, particularly in the 5G area and Public Safety areas. And in order to chase them, we need to free up resources and better focus our efforts. 
 As such, we began an evaluation in Q2, and it led to our decision to seize offering certain enterprise technology solutions in Q2. And as previously mentioned, we did record a $3.9 million charge for estimated contract settlement costs in the quarter. We also reduced our assumption for sales in this group during the second half of fiscal 2019 as we start this transition. Our evaluation process and repositioning will continue during 2019. And as we make impactful decisions, we will update you. 
 On the safety and security front, we are really excited about the Solacom acquisition, which we closed on February 28, 2019. Solacom is a leading provider of next-generation 911 solutions for public safety agencies, and its acquisition was a significant step in our strategy of enhancing our Safety & Security Technologies solutions. In simple terms, we believe that we are better together and are working on a number of exciting projects that we believe will bode well for our future. When we are ready, expect to see some exciting announcements on new solutions going forward. 
 Solacom is a company of firsts. For example, it was the first to offer a national deployment using direct IP connectivity from a local exchange carrier. It was the first company to offer a fully IP-hosted customer premise ESInet deployment, which was in the state of Indiana. It was the first to offer a NENA-certified next-generation 911 system, which was in the state of Illinois. And it was the first to offer a statewide next-generation 911 system, which occurred in Maine. As you can see, I am excited about the acquisition of Solacom, and I believe it bodes well for our Safety & Security Technology business going forward. 
 For the segment as a whole, for the rest of fiscal 2019, we are expecting our net sales for each of the third and fourth quarters of fiscal 2019 to increase from the respective amounts we achieved during the second half of fiscal 2018 and believe that our fiscal 2019 will be a strong year for our Commercial Solutions segment, with total net sales expected to increase on a year-over-year basis. 
 Now let me turn to our Government Solutions segment. Here, net sales were $77.4 million as compared to $47.9 million in Q2 of fiscal 2018. This represents a substantial increase of 61.6%. As expected, bookings in our Government Solutions segment were relatively low as compared to recent prior quarters, wherein we received significant large orders. Our book-to-bill ratio was 0.61 here. Such variation or lumpiness in quarterly bookings is normal for this segment, and our pipeline of opportunities remains strong. 
 During the second quarter, we did receive a number of important orders and contracts. For instance, we received $11.9 million of orders for cybersecurity training solutions. We received $6.9 million of orders to provide ongoing sustainment services to the U.S. Army for the SNAP program. We received $5.2 million of orders to supply Manpack Satellite Terminals, networking equipment and other advanced VSAT products to the U.S. Army. Such orders were booked pursuant to our $223.4 million global tactical events communication systems contract with the U.S. Army's program management tactical network, which has a remaining unfunded contract value of $89.9 million as of January 31, 2019.
 We were also awarded $3 million of orders for antenna fees to be incorporated into portable and inflatable 1.2-meter and 2.4-meter SATCOM terminals. We received a $1.2 million order to continue to deliver services to various agencies of the city of Baltimore. We received $1.1 million of incremental funding from the U.S. Army related to the first-option period under our BFT-1 sustainment contract.
 And during the second quarter of fiscal 2019, we were among the number of named awardees under the U.S. Navy seaport next-generation IDIQ multiple-award contract vehicle with a total maximum value of $10 billion. Our business outlook for fiscal 2019 does not include any bookings or revenue contributions from this IDIQ contract, and no, we don't expect $10 billion of orders. However, we do expect that this contract award will benefit us in future periods. And over time, we expect significant orders off of this contract vehicle. 
 Today, the exact amount and timing of orders in our Government Solutions remain difficult to predict, but we do have a number of opportunities in the pipeline and are targeting to achieve a book-to-bill ratio of 1.0 for the segment of fiscal 2019. 
 Now I will provide an update on 2 large future opportunities that we've been tracking in our Government Solutions segment. The first relates to a multimillion-dollar and multi-year opportunity to supply a significant quantity of over-the-horizon microwave systems to the U.S. Army. During the second quarter of fiscal 2019, our teaming partner informed us that its proposal was not being considered for further evaluation and that it had filed a formal protest. 
 In a related development, the U.S. Marine Corps informed us that it intends to issue a separate procurement proposal for over-the-horizon microwave systems. As such, we now believe that any potential awards will be delayed by several months, if not longer. While disappointed in the delay, we believe our over-the-horizon microwave systems can meet the specification and requirements of the U.S. Army as well as an anticipated forthcoming request from the U.S. Marine Corps. 
 The second opportunity we've been chasing relates to BFT-2. Here, too, we have seen some delays. Although we believe our BFT-HC Transceivers can fill a vital need, the program office has yet to place additional offers. It's fair to say that things have gotten a little bit more cloudy than what we like, but we are nevertheless continuing our marketing efforts and are hopeful that we will eventually break through and receive new orders.
 In aggregate, this is going to be a great year for our Government Solutions segment. Although there are a number of items that could shift between quarters, based on our current assessment, we expect net sales in our Government Solutions segment in each of the third and fourth quarters of fiscal 2019 to be lower than the amount we achieved in our second quarter. Overall, though, we anticipate that fiscal 2019 net sales for this segment will be significantly higher than fiscal 2018.
 Now let me turn it back to Fred who will provide some closing remarks. Fred? 
Fred Kornberg: Thank you, Mike. As I mentioned earlier, I'm very pleased with how our business is performing to date. Fiscal 2019 is expected to be a terrific year for Comtech, and I see positive signs across all of our businesses. And as I mentioned previously, and if all goes well, we could achieve a higher net revenue and adjusted EBITDA than the guidance we have provided today. 
 This April, we will begin our annual sales and marketing plan for our fiscal 2020. Looking out to fiscal 2020, I'm increasingly excited about our future prospects and the positive trajectory of our business. Although we are not ready to put out any specific financial metrics or targets for fiscal 2020, I believe that our growth prospects, both on the top and bottom lines, are better today than our previous expectations. 
 Given our strong business outlook, our Board of Directors has declared a dividend for the third quarter of fiscal 2019 of $0.10 per common share payable on May 17, 2019, to shareholders of record at the close of business on April 17, 2019.
 Now I'd like to proceed to the question-and-answer part of our conference. Operator? 
Operator: [Operator Instructions] And we will take our first question from Tim Long with BMO Capital Markets. 
Tim Long: Two questions, if I could, maybe, Fred, for you. Just talk a little bit -- it sounds like a lot of deals in the pipeline, but definitely some pushouts here and there, and it sounds like the backlog was a little bit impacted by that as well. So could you just talk a little bit at a high level about what risks you see for the timing of a lot of these deals as we look into the second half and the guidance there? And maybe for Mike, you talked about HEIGHTS obviously getting to that inflection point. What do you think that means? How quick is that ramp? And do you think getting in with one of these large U.S. carriers, does that open up yet another bigger potential end market for that solution? 
Fred Kornberg: Okay. On the first part of the question, as far as our guidance for 2019 and what we are looking at for 2020, we really have no numbers in there for any of the very large programs, and that being the 2 programs that are -- that we've mentioned previously, the troposcatter over-the-horizon work and also the BFT program. I think what we're trying to tell you is that we're anticipating those to be, I guess, won by us hopefully sometime in the future. But we're not depending on it in terms of '19 or '20 numbers. I think as Mike mentioned, our proposal by our team member was considered in the evaluation not being successful. And as such, the team member has filed a protest. What that will do is essentially, in my opinion, essentially delay the program substantially, could be months, could be a year or more. I think at this point, it's very, very cloudy. So we're really not counting on it. The good news part of it, however, is that in the beginning, the Army program was supposed to include the Marine Corps as well. However, as Mike mentioned, the Marine Corps has, I guess, gotten tired of waiting and has really come out with their own specifications and their own RFQ. We actually expect, at least we've been told, that the Marine Corps RFQ should come out sometime this month in March. We're not betting on it because we've seen the government delay programs of this magnitude many, many times. However, the good news is that at least, it's not part of the formal protest on the other program. And this one, hopefully, will go through and be successful for us. On the BFT front, as Mike mentioned, things are getting a little cloudy in a sense that we did receive the 5,000-piece order for BFT-2 equivalent transceivers, which we supplied and delivered fully to the Army. However, the Army is also looking not only at BFT-2 performance but also for the BFT-3 performance coming up. And it's trying to make some decisions in terms of what it needs for the future. As such, things like diversity applications and security applications that have not been part of BFT-1 or BFT-2 are now being considered as part of the next solution. And I believe that that's pretty well holding us up in terms of our future orders for us right now on the equivalent BFT-2 program. We do have -- we have been in discussions with the Army in actually providing some development work on the security basis and also on the diversity basis. We have yet to get those programs, but we expect those sometime in the next, let's say, 90 days. So that's really the 2 major programs. And to reiterate, when you look at our company and you look at our numbers, we have nothing in there for those 2 programs in certainly '19 and '20. Should anything change in the future, it certainly would be an upside to our numbers. 
Tim Long: Okay. And then, Mike, on HEIGHTS? 
Michael Porcelain: Yes. So HEIGHTS is -- we've been talking about it for a couple of years, and we've been verbally told we're getting some new orders. But you might remember, this is a product line that generated literally 0 in revenue a couple of years, and we were certainly expecting, as I call it, 2 hands worth of revenue. And it's possible we make it to a third hand this year. So the orders are coming in. And from an inflection point, yes, I mean, we were really excited that we were able to get a U.S. mobile operator to begin testing our product. And actually, it is doing live testing. So using that as an example, yes, perhaps even the HEIGHTS market in -- the total addressable market is bigger than what we might have thought even a year ago. But we do like -- we want this stuff to happen, and so we're looking at tangible orders as the key sign, and we hope to announce several of them soon. 
Operator: And we can take our next question from Mike Latimore with Northland Capital. 
Mike Latimore: I guess, just trying to sum up the bookings opportunities for the rest of the fiscal year, would you say some of the larger ones are more on the commercial side versus government? 
Michael Porcelain: Yes, no doubt. I mean, we're expecting bookings in our satellite earth station product group to grow from the current level. We're expecting some safety and security awards later in the year. So yes, most of that bookings growth is going to come there. 
Mike Latimore: Okay, got it. And then on the BFT-2 and 3 and then over-the-horizon opportunities, I mean, if those get delayed, I mean, could you still grow your government revenue in fiscal '20? Or do you need some orders from those to come through to grow government in fiscal '20? 
Fred Kornberg: We have -- we certainly have other government work in both of those areas that we will probably receive. I didn't mean to -- cannot disqualify us from many of the further work. I just -- what I'm talking about is the 2 major programs, which were roughly for us $200 million of the tropospheric stuff over 5 to 7 years. And BFT, certainly, based on our prior experience, could be $200 million to $400 million over 5 to 7 years. So those are 2 major programs that -- they're binary. You either get them or you don't. And as it happened to us before, someone did kind of take the BFT-2 program away from us. But as we know now, it's not working. So the BFT-3 is really the real component. But what we're trying to do with the Army is actually get the BFT-2 working with our transceivers instead of our competitors. 
Michael Porcelain: Yes. And Mike, just to kind of continue with your thought process, I mean, obviously, in Q2, we had a 61% year-over-year revenue growth in the Government Solutions segment. We're not going to achieve that growth next year no matter what we do. But when we -- and obviously, 2019 is a very strong year for our Government Solutions segment. But yes, I think we would say, in aggregate, there are a bunch of over-the-horizon opportunities even on the international side that go in there. You might remember, we -- in the last quarter, we talked about the Northrop Grumman program for the broad-based, solid-state amplifiers that are used in that new radar program that we are participating in. Yes, so when you add up the things we have, the SNAP program, the VSAT stuff, there are a lot of what we call protected communication opportunities, and these would be small VSAT-type opportunities that the government is looking to and is in the process of procuring. I do think, even from '19 to '20, without any big awards, it's -- we should be able to grow that business, I would say, in the low single digits for the moment. And then, obviously, if we get these opportunities, that will help that number go higher. And the government order is always difficult to predict because of the lumpiness of the things, but we do have pretty solid backlog in that segment today. We finished the -- Mike had mentioned that we had $586 million of backlog. Almost $200 million of that is in our government segment. So there's plenty of base to start with for next year. And obviously, we expect to get orders in future quarters. So nothing to be concerned about. It's a lumpiness factor, and that's how that business is always going to be. 
Mike Latimore: Okay, yes, makes sense. Very good. I guess, just last one. This mobile operator testing HEIGHTS, that sounds very interesting. Like what would be the specific use case there? 
Michael Porcelain: It's actually for the backhaul of cellular traffic in the United States. So U.S., you have the ability to run fiber. The satellite technology in aggregate, we believe, is starting to be less expensive and perhaps less expensive than fiber. So it's an interesting dynamic that's occurring. It has to be proven. It has to be -- we have to work out the technologies. U.S. telecom operators, as you know, have really high specification rates for quality. Nobody wants their phone calls dropping. So the fact that they have decided to go forward with live testing on the system is really exciting news for us, and it demonstrates the quality of our product and the ability to meet the needs of the marketplace. 
Operator: [Operator Instructions] We'll go next to Kyle McNealy with Jefferies. 
Kyle McNealy: I guess, first, on Commercial Solutions, are there any wind-downs from significant projects like 911 in the state of Washington that might act as kind of a headwind in -- throughout this year? And then I guess based on your guidance for this segment, it appears that there's offset, is there anything like that? And are there any other additional NG911 in the pipeline that could be significant and come in and impact 2019's revenue? 
Michael Porcelain: As it relates to our Safety & Security solutions group, no. We don't see headwinds in that marketplace, certainly not in the short, medium or long term. We're in early inning stages of next-generation opportunities. There are several opportunities that are out there publicly. State of California, for one, has been an example. So there are things out there. We actually -- we're working with New York City, in fact, as an example of providing the solution. We actually passed on providing certain solutions for them. It's a very difficult and complex system, but they actually made outreach to us about 1 month ago and asked us to provide services to them, and we're in the process of bidding them. And as you know, state of Washington, we're doing the statewide implementation. So I think what's happening is many of the states are starting to see that we have the full capabilities, a full solution set and that we really have demonstrated that we're able to deliver it. This is an industry that you read the headlines, there are outages and there are shortages from time to time, and these systems are very old and antiquated and you're always going to have some hiccups and some issues. But as these systems mature and as everything starts to sync up together, I think we're starting to gain some leadership and some brand recognition back from what it was just a few years ago. The Solacom acquisition, we think, is certainly a demonstration of our commitment to this space. And as I mentioned, we're really excited. In terms of other headwinds, we did begin a repositioning of our enterprise technology product line group, and we did actually take out a bunch of revenue in our 2019. So although we're increasing our revenue in aggregate, we are actually lowering our revenue expectations in that group. And there are -- yes, I only call them headwinds, but we are in the midst of repositioning that business to focus on higher-margin solutions. So that will kind of pull down our overall assumptions as we think about the entire business in total, but that is reflected in our '19 numbers. 
Kyle McNealy: Okay, great. And then the NG911 projects that you may have in the pipeline, are they near term? Could they -- do any of them have the chance of coming in, in fiscal 2019? Or are they longer term, over the next year or so? 
Michael Porcelain: Well, in particular, there's one very large opportunity that we were actually expecting to get this quarter. That actually got delayed, and then the customer basically went from, I'll call it, 5 years down to 2 years. So using that as an example, the carriers constantly change their sort of RFPs or their request. So it's difficult for us to say whether or not we'll hit that in 2019. The last time we know that's what we've been told is that this opportunity will come in there. But again, that's more of an opportunity that we bulk. It will benefit us in 2020 and '21. So even these opportunities, they don't start right away, and we have pretty healthy backlog to continue to do the services for '19 and 2020. 
Kyle McNealy: Okay, great. And then on the tropo RFP, did you get any feedback from your partner or the government in terms of the determining factors for why you were removed from consideration in the running? 
Fred Kornberg: That's really going on right now. And as I've mentioned, it's -- we did not bid that program, our partner did. So they are the prime, and they are the ones that have been told that they have some issues. And they're in a protest. And right now, we have very little information. 
Kyle McNealy: Okay. So no -- like whether there was a specification issue or product issue or service issue or something? Not real -- any clarity there? 
Michael Porcelain: Yes, we can't provide that. I mean, Kyle, we are aware of what -- certain things that the government didn't like about the -- our teaming partners proposal to them. But we can't obviously talk about that on the call. 
Fred Kornberg: We're a subcontractor. 
Kyle McNealy: Okay. Sure. And then one last thing in regards to the slowdown in orders in Government Solutions. It seems like their 1x book-to-bill, your expectation for 2019 seems like that might indicate a healthy ramp in the back half, like you said. What areas of Government Solutions would you say would contribute to the uptick in orders for the back half? Like what are the strongest areas you think? 
Michael Porcelain: It's really 2. It's the protected communications area and some of these on the ultra satellites, small satellite type terminals. And we do have some nice international over-the-horizon opportunities that are there. We also have some IFF stuff with our amplifier group. So again, a lot of this is good business that we've been working on for the last 1.5 years or so that are developing, and our expectations are that those bookings will come in. 
Operator: [Operator Instructions] We'll go next to Glenn Mattson with Ladenburg. 
Glenn Mattson: Just building off the last question on the tropo. The -- I guess, does the Army's position of kind of ruling out your partner on that project hurt your cause when it comes to the Marine Corps order? Has that weakened the case there at all? Or is that completely independent? 
Fred Kornberg: Number one, I think it's completely independent. And there's some history between the Army and the Marine Corps in terms of what the specification requirements were, and that's one of the reasons that the Marine Corps pulled out. So number one, it is independent. And number two, I believe, really, that may actually give us the ability to bid that program prime ourselves. 
Michael Porcelain: And one thing just to sort of add. I mean, our partner who obviously we're committed to working with through the protest process, at the end of the day, the government still needs to purchase these over-the-horizon troposcatter programs. So whatever happens with our prime, we're there to support that partner. But there are a number of paths that we see that we can ultimately deliver our product to the end customer. So we're not concerned. We're just disappointed in the delay. We don't necessarily view this as a loss for Comtech, but it certainly is a delay. 
Glenn Mattson: Can you remind me, didn't you ship some tropo systems kind of in a rush situation in Southeast Asia? Was it maybe last year? And did those -- were those assembled with the same partner? And did they perform well in the field? Can you talk about that at all? 
Fred Kornberg: Yes. We've shipped in the last, let's say, 3 to 5 years. We've shipped numerous systems to the Army and the Marines. And they've been working in the Asian area, in Korea or in the Philippines or also in the Mid-East area. So they've been working fine. It's certainly not a problem that we have. We just -- for some reason, the government has decided to not to go forward with our partner, and we're trying to really find that what that reason is. 
Operator: [Operator Instructions] At this time, there are no additional phone questions. I'd like to turn the program back over to our presenters for any closing remarks. 
Fred Kornberg: Okay. Thanks, again, for joining us today. We look forward to speaking with you again in June of 2019. Thank you very much. 
Operator: Thank you for your participation. This does conclude today's program. You may disconnect at any time.